Executives:  Kevin Bradley – President, Terex Cranes Ronald M. DeFeo – Chairman and CEO Aloysius Rauen – Chief Executive Officer, Demag Cranes AG Kieran Hegarty – President, Terex Materials Processing Steve Filipov – President, Developing Markets and Strategic Accounts Phillip C. Widman – SVP and CFO Tim Ford – President, Terex Aerial Work Platforms
 : 
Analysts:
Operator: Good morning. My name is Darla and I will be your conference operator today. At this time I’d like to welcome everyone to the Terex Corporation third quarter and 2012 financial release. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to Ronald DeFeo, Chairman and CEO. Please, go ahead, sir.
Ronald M. DeFeo: Thank you. Good morning, ladies and gentlemen, and thanks for your interest in Terex Corporation today. On the call with me this morning is Phil Widman, our Senior Vice President and Chief Financial Officer; Tom Gelston, Vice President of Investor Relations; and participating on the call either and available for your questions is be our leadership team including our business segment presidents and geographic representation from China and the developing markets. As usual, a replay of this call will be archived on the Terex website, www.terex.com under audio archives in the investor relations section. I'll begin with some overall commentary and highlights. Phil will follow up with a more detailed financial report and I'll provide some summary comments before we open it up to your questions. And as normal, we'd like to request that you ask one question and a follow-up in order to give everyone a chance to participate. We also plan to limit this call to about an hour today and thank you for your understanding. For this call, we’ve prepared a presentation which will guide our commentary. This is available on our website. Let me begin with the forward-looking statement on Page 2. Please review the statement as we will be discussing forward looking information and non-GAAP measures relative to Terex’s performance today. So turning to Page 3. We’re generally pleased with the company’s’ performance in the third quarter of 2012. On an adjusted basis we’ve achieved an earnings per share of $0.62 and a reported EPS of $0.27. The difference is primarily related to one-time costs associated with the repayment of debt in the quarter as well as other costs associated to realigned production in a few of our businesses. We remain focused on our 2012 objectives to improve our margins and generate cash. Operating margin increased to 7.2%, up from 2.9% in the third quarter of 2011 as reported. Price realization and cost containment continue to be our focus and we have made substantial progress throughout the year in these two areas. Free cash flow of $176 million in the quarter and $415 million year-to-date reflect our intended progress for the year. However, we still have additional cash opportunities in the balance of the year. Next, our 2012 EPS guidance remains unchanged. We expect $1.95 to $2.05 per share on an adjusted basis with approximately $7.5 billion of revenue. Clearly there are some near-term challenges reflecting the uncertainty in many markets. This has caused orders to slow in certain of our segments and we have made or are making appropriate adjustments. Nevertheless, the year has developed moderately better than we expected going into the year and as we look forward to 2013, we do anticipate moderate growth and stronger EPS and returns on capital for the company overall. We will continue to stay focused on the things that we believe we can control and adapt for those that we cannot. Turning to page 4. A few more comments about our market and our business environment. In the third quarter of 2012, net sales by geography for Terex reflected the diversification that we have attempted to achieve over many years of our revenue base. North America represented 35% of our net sales, Western Europe 27%, Asia 18%, Latin America 7% and the balance of the world at 13%. We continue to grow in North America and our EU sales actually grew 6% year-to-date, excluding the positive effect of the Demag Cranes AG acquisition. The rest of the world, Australia and the Middle East remain strong, but the brick countries and the brick markets are clearly mixed in performance and outlook. As we look at our net sales by segment, area one platforms represented 29% of our total revenue. Construction 19%. Cranes 22% and NHMPS, the material handling, actually I want to correct that. I think construction represented 16%,, material handling and port solutions 26% and materials processing 8%. The near term market demand for these businesses I s positive for AWP, negative for construction, positive for cranes and I’m sure we’ll discuss that, positive for material handling and port solutions and slightly negative for materials processing. It is with this margin backdrop that we close the year and prepare for 2013. I’ll come back and summarize, but I’d now like to turn it over to Phil who will go through the individual performance measures on an adjusted and reported basis for the quarter. Phil?
Phillip C. Widman: Thank you Ron and good morning. As we turn to slide 5, I’ll review our financial results for the quarter. During times of market uncertainty we continue to focus on those items we have more control over. Margin improvement, cash generation, the integration of our MHPS business and improving our capital structure. We have made considerable progress in all these areas as reflected in the third quarter results. Overall net sales for the quarter increased 1%. However, when excluding the impact of the Demag Cranes AG acquisition which was included from August 16th of 2011, net sales decreased approximately 8%. Of which 5.4% relates to foreign currency fluctuations when compared to the third quarter of 2011. Our construction and material processing segments declined most significantly. Gross margin as adjusted expanded 4.6 points to 16.4% in Q3 2011 to 21.0% in Q3 2012, reflecting our focus on pricing and cost containment. We continue to remain vigilant on SG&A, with the increase in spending from 2011 levels related primarily to the inclusion of the Demag Cranes AG business for the full quarter. Adjusted income from operations for the quarter of $140 or 7.7% of net sales increased close to 80% when compared to Q3 2011. Net interest expense, although up one compared to prior year related primarily to the acquisition of Demag Cranes AG in Q3 in 2011 and the issuance of 6.5% senior notes in March of 2012 and is in line with expectations for the quarter. The benefit of recent refinancing actions will have a positive impact as we head into Q4. Other income which is primarily driven by foreign currency movements, difficult to focus was in line with expectation and current run rates. The low effect of tax rate is primarily attributable to the year-to-date true-up of jurisdictional mix of income and reductions in the provisions for uncertain tax benefits. The discrete and intended positive effect of approximately $0.04 per share in the quarter. We expect the 2012 full year effective rate to be approximately 34% as the weighting of losses not benefited will have a larger impact in the fourth quarter rate.  For the quarter, earnings per share as adjusted was $0.62 compared to $0.30 in 2011. I will walk through a bridge detail in the adjustments in a moment. Net working capital as a percentage of annualized sales was 30%, an increase from the 27% reported in Q2 of ’12. The increase was largely due to the seasonal decline as softening demand in some segments. Net working capital as a percentage of annualized sales did improve from the 32% reported in Q3 of 2011. Return on invested capital of 7.7% declined sequentially as the average invested capital includes the acquisition related depth for the full trailing 12 month period. Our profitability continues to be the main improvement factor when compared to the prior year period.  In the appendix we’ve included pages for individual segment performance. I’ll briefly comment on each of them at this point. The Aerial work platform segment continued to post strong results. Net sales increased approximately 17% or 21% excluding the impact of currency fluctuation, driven primarily by replacement demand in the North American rental channels as well as moderate growth in our European and Latin American markets. We do believe there are some early signs of fleet growth in North America as a few customers have discussed location expansion in their 2013 planning.  Operating margin for the current quarter was 11.3% compared to 6% in 2011 as improved price realization as well as leveraging the SG&A spent levels led to incremental margins of over 40%.  The market environment for the construction site which remains negative. Net sales for the third quarter of 2012 decreased approximately $105 million as end market demand for many of the segments products have declined significantly. Although the management team has been aggressive in decreasing production levels in the core structure to be aligned with the current market demand, we still reported an operating loss for the period of $8.3 million of which $1.3 million related to downsizing actions taken. The crane segment net sale has increased approximately 2% after adjusting for foreign currency movements as the company continued to see strong demand from North America, Australia, South America and the Middle East, whilst remaining markets have stayed relatively stable. The real story for cranes is about the margin expansion it has achieved. On effectively flat sales, the operating margin doubled to 12.1% in the third quarter from 6% in 2011. Approximately 4% came through approved price realization and product mix and the remaining 2% from cost reduction actions the management team aggressively implemented in 2011. As of July 1st our material handling report solution segment includes Demag cranes AG, the Terex Port equipment and our rich stack of businesses. All numbers presented have been recast to reflect this management reporting change. MHPS sales for the quarter increased approximately $86 million compared to Q3 of 2011, primarily driven by the inclusion of the DEMAG cranes AG acquisition for the full quarter. From an earnings perspective we are starting to see the benefits of the integration and cost reduction actions as operating margin improved to 5.7% in the quarter, excluding the charge of 6.9 million related to the production realignment actions taken. MHPS EBITDA of $34.3 million accounted for roughly 21% of the total company in the third quarter, largely driven by strong material handling results. Material processing net sales decreased in the quarter approximately 12% as continued softeners in Western Europe and India for mobile screening products was partially offset by strength in North America and Australia. Although experiencing a drop in sales, operating mergers for the quarter increased to 10.1% from 7.2% in 2011 reflecting approved price realization and cost discipline in particular during the periods where we have been experiencing softer demand. Turn to page six, we have displayed the results adjusted for certain items for Q3 2012. A similar presentation for Q3 2011 is included on page 11. The results for Q3 2012 were impacted primarily by three items; costs associated with the early extinguisher mode, that certain downsizing cost related primarily to our MHPS and construction segments and a change in the statutory tax rate in the UK. The column labeled debt reduction primarily reflects the $49.9 million of expenses associated with the redemption of the company’s 10 and 7,8s percent senior notes and the purchase of 25% of the company’s 4% convertible notes. This had an impact on EPS of $0.29. The next column labeled other items reflects the downsizing actions implemented in both MHPS and construction of 6.9 and 1.3 respectively, as well as an adjustment for the change in the UK statutory tax rate that unfavorably impacted that income by $1.6 million. The impact of these three items on income from continuing operations is $7.4 million or $0.06 per share. The combination of these items results in income from continuing operations of approximately $70 million as adjusted or $0.62 per share.  As we turn to page seven and look at backlog, there are a combination of factors impacting these trends such as product and geographic diversification, seasonality and also the uneven nature of orders of some of our larger sized equipment or businesses that negotiate large contracts or annual agreements such as port equipment, large crawler cranes and AWP.  Starting with AWP, the fluctuation and backlog reflects the impact of large rental companies in North America, and with respect to the timing of when orders are received. For the big North American rental companies, late third quarter or fourth quarter is when negotiations generally happen for the following year. In 2011, large recurring fleet orders were received in quarter three. In 2012, these similar fleet orders did not start being received until the fourth quarter of 2012. If we backed out the timing impact of these orders, backlog is essentially flat year over year and the seasonal trend between Q2 and Q3 of 2011 and Q2 and Q3 of 2012 was consistent. Overall we remain confident in our outlook for this business. The construction segment has historically been more exposed to the European region and several of our other businesses, with roughly 34% of the revenue in Western Europe. And the overall uncertainty is reflecting with the slowdown that we are experiencing. In addition, the track business and the material handling business which is closely tied to scrap metal prices continued to remain soft. In the cranes segment, the decline has been driven by the larger crawler and all-terrain cranes where the uncertainties surround a certain European macroeconomic factors including capital markets tightening and declining government spending, it has had a negative effect on these products. However, we are encouraged by improving quotation activity and the enthusiasm surrounding our fourth quarter new product introductions. Our focus on margin improvement has also put more scrutiny on orders in the backlog that get rescheduled whereby customers may be attempting to extend prior year pricing. Lastly, 2013 price levels in North America which have only recently been communicated, delayed numerous negotiations into the fourth quarter. MHPS backlog levels have remained relatively consistent over the past several quarters. Components of the large order related to the European port projects announced during the second quarter of 2012 with little restarting in the second half of 2013 are starting to be included in the company’s reported backlog. But profiting segments continued to experience oral weakens in Europe as financing then market demand are still challenging. Overall, the dealer inventory levels are at historical lows in these businesses and any uptick in the market will flow quickly to the factory.  Turning to page 8, the company has recently executed several capital market transactions that allow us to reduce our outstanding borrowings and opportunistically re-price our terminals. The annual benefit of these transactions is a reduction in interest expense of approximately $44 million, a portion of which will begin to flow through in the Q4 period. We will continue to look for further opportunities to improve our capital structure. I’m going to turn it back to Ron.
Ronald M. DeFeo: Thanks Phil. So a few summary comments. Terex remains focused on harvesting the intrinsic value that exists in our product portfolio and dealing with our issues so that we have substantially stronger company in the next 12 to 24 months. We think that opportunity is quite strong. Our margin improvement remains a key priority for the company. The price realization initiatives implemented across the company remain on track. I think you can see this in our Aerial work platforms business and in our cranes operations in particular. And frankly, in our construction business despite the negative volume trends which are very substantial, we’re not going to chase pure volume to the net detriment of pricing and value. Consequently, we will see a degradation in that business but it is very volume dependent and we can be assured that we;’re controlling our costs. Net has anticipated the input and operational cost reduction initiatives are being realized in virtually all of our business. We have greater leverage with our supply base today to achieve a more balanced input cost base and we’re remaining focused on managing SG&A levels on the ratios that we believe are proper for each of our businesses. We also have a better balanced portfolio of businesses which helps us offset weakness in certain products or markets. Cash generation remains a core focus for the company and will continue to be a primary area of emphasis. We achieved free cash flow of $415 million year-to-date and expect a solid fourth quarter in this area.  Remember we guided in the beginning of 2012 our target free cash flow generation for the year of over $500 and we think we’re executing against this pretty well. The integration of material handling and port solutions is on track or ahead of track. We indicated that we would expect to achieve at least $35 million in annualized savings and we now believe we may exceed this in 2013. We should realize at least $10 million of savings in 2012 from our initiatives to integrate this business into Terex.  The debt reduction and interest savings were anticipated, but I think we have been able to do somewhat better than we were planning in the beginning of the year in this important area. Our capital structure remains the primary focus for us for the balance of 2012 and 2013 and as we look forward to next year, we believe there are some moderate topline growth opportunities, particularly in aerial work platforms, cranes, that’s the mobile cranes, and material handling and port solutions businesses and this growth plus other costs and management initiatives should result in meaningful improvement in earnings per share and returns on invested capital when compared to our 2012 performance. Using external data to support our view, rental fleet CapEx for our products specifically continued to indicate increased purchasing. The architectural billing index has returned to levels that indicate future growth. Engineering and construction firms continue to show improving backlogs. Housing in the US has seen a number of favorable trends pointing toward growth. Energy investment continues globally and the existing fleets of equipment in the field remain quite old and in need of replenishment. At this time we’re not prepared to give guidance for 2013 as we are yet to complete our internal budgeting process. But we anticipate we will provide greater insights when we report next in February. So in summary, as I believe you can derive from my preceding comments, the environment is one that presents many opportunities for Terex to be successful despite some short term challenges.  Now I’d like to open it up for your questions. Operator
Operator: Thank you. (Operator instructions). Your first question comes from the line of Jamie Cook with Credit Suisse.
Ashley Liliona – Credit Suisse.: Hi guys, this is Ashley Liliona [ph] for Jamie Cook. So my first question is, could you kind of quantify the magnitude of orders for AWP and the other businesses in the fourth quarter? Ad then just kind of, just like a little bit more detail on that.
Ronald M. DeFeo: Well, I don’t think we want to quantify the orders because some are still being delivered in. we don’t really report orders as we get them. But we’re pretty confident that all of the customers that we would expect to give us meaningful orders are either giving us or have given us orders.
Ashley Liliona – Credit Suisse.: Okay and then I guess for AWP then, what is the mix that you’re seeing between the strong merge players? Are you going to see a mix change? Is that kind of going to stay the same going to 2013? 
Tim Ford: Yeah, this is Tim Ford. Thanks for the question. If you look at slide number 12, you’ll see that the North American business represented 69% of Q3 sales. The large national accounts, those that we typically think of, those are the national footprint represented about a third of that overall business. Which means that the remaining 2/3 came from other customers and included our parts in service and use. We’ve seen a shift from the second quarter. The number of independent that have come into the market has substantially increased just as we thought it would when we laid out the plan for the year. We knew that the first half would be strong national accounts, second half would be stronger independent and that’s exactly the way the year is playing out.
Ashley Liliona – Credit Suisse.: Alright, great. Thanks guys.
Operator: Your next question comes from the line of Andrew Obin with Bank of America Merrill Lynch.
Andrew Obin – Bank of America Merrill Lynch: Hi Ron. I just want to highlight that when you sold your mining business a while ago people pointing fingers at you, but you look pretty smart right now. I just have to say that. Having said that on aerials, the question is, do you see a structural change as the big players are getting bigger, particularly URI? Incrementals were very good in the quarter as the mix shifts back to more large players which is I guess seasonally what’s going to happen in the first half. Can you sustain these incremental margins in the first half of next year?
Ronald M. DeFeo: Yeah. And thank you Andrew for the mining comment and we appreciate that and we are in the process of reshaping Terex to a more diversified company, a more balanced company and we have used proceeds for the mining cell to do that. On your question about AWPs and big companies, why don’t you answer that Tim?
Tim Ford : Okay, Andrew, thanks for the question. There was a study recently done by Trade Magazine that surveyed all of the major manufacturers and compiled fleet sizes. And if you look at the impact that the top five players had in 2005 as a percent of the top 50 in terms of total fleet, it’s about the same today in 2012. So, the top five as a percent of the top 50 in overall fleet has basically remained unchanged for the last seven years. So when I look across the market there are a number of players that are growing but the overall pie has grown too. So the impact that one or two or three customers have in the aggregate really hasn’t made a material difference from a buying power standpoint. Certainly there are big players. We want their business. We respect their size and their volume but nobody has yet built the kind of critical mass where they would be in a Wal-Mart type position in our industry.
Andrew Obin – Bank of America Merrill Lynch: And so you don’t think, you think these incremental basically that we have been seeing over the past couple of quarters are sustainable?
Ronald M. DeFeo: Well, the incremental margins Andrew that we achieved this past quarter were actually darn good. How we achieve the incremental margins for 2013 I think will be good, but I don’t think they will be as good as what we did in 2012, simply reflecting rebalancing between cost and input cost and absorption of our factories et cetera. So I think we’ll get good incremental margins, but I don’t think you’re going to get 50% incremental margins. Phil, you have a comment to add?
Phillip C. Widman: Andrew, what I would add to that, last year in 2011 we had started several price increases around the end of the second quarter and going through the periods here. So I would say the incremental margins you’re seeing over the last couple of quarters had comments that were reflecting lower prices. So they’ve been great. We expected those. We telegraphed that in terms of our guidance for this year that we would be abnormally high for the whole company because so much was on price. I would expect they tend to moderate a little bit next year and not be at the levels that they were, but still strong operating margins in AWP
Andrew Obin – Bank of America Merrill Lynch: So pricing for AWP is going up next year, right?
Ronald M. DeFeo: Yes, pricing is going up. 3.4% is what we announced. Our competition has actually announced 5% to 8%.
Andrew Obin – Bank of America Merrill Lynch: Thank you very much.
Operator: Your next question comes from the line of Ted Grace with Susquehanna.
Ted Grace – Susquehanna: Hey guys, how are you doing? A question coming back to Aerials. Tom, could you just speak to maybe the tone of negotiations and outlook between the independents and the large guys. And I know you commented that the third quarter played out as expected. But just as we think about 4Q and then heading into next year, maybe as a starting point if you could give us a flavor for the tone or sentiment you’re picking up more from the independent side because I think the large guys are probably a little more transparent.
Tim Ford : Okay, thanks Ted. I think as we look into the fourth quarter and planning for 2013, I think we’re looking at a solid, maybe not spectacular but a solid market going for the next two to three to four quarters. Let me give you a few data points to support my confidence. First, free agent Ron mentioned has come down slightly. But it’s still elevated compared to historical levels and use equipment while we’ve seen a seasonal dip here recently, remain at pretty good overall year-over-year levels. Second, as you’ve seen from some of the rental customers that are out there, rental demand has remained strong with solid utilizations.  And customers that we’re talking to are optimistic about 2013 largely because of the green shoots if you will on home construction and ADI. Last which is I think related to your question around the independents that is, financing is actually in the US in a pretty good place. A lot of North American banks that were strong in this business that went away during the downturn have actively reengaged. The customers are choosing ABL type financing over traditional leasing products and we think the market is in a pretty good place overall. So sitting here today, customers are talking about 2013 in very confident measures and as we’re sitting across the table and negotiate deals with our large customers, I think we’re both in a position where we feel the year is going to be good and we’ll be looking at a pretty solid fourth quarter, first quarter, second quarter next year.
Ronald M. DeFeo: Yeah. The most critical point is independence of access to capital and that’s huge because the demand is there and the fleetage is there. So the access to capital will actually play out the business and I think if you look, I would add to what Tim says, one additional comment. You stil have very big fleets from 2005, 2006 and 2007 that need to be replaced. So while it’s difficult for us to predict quarter to quarter, I think at least for the next several years the market environment in this product category can be confidently said to be strong, barring any kind of calamity that we can’t see at this stage.
Ted Grace – Susquehanna: So is there any chance of getting Kevin to kind of comment on the crane type as well?
Ronald M. DeFeo: I think he’s been waiting to do this. So yeah, that’s fine, Ted.
Kevin Bradley: Yeah, thanks Ted. So for cranes, backlog is certainly an important metric and we certainly understand and want to focus on it. At the same time, what we have a lot of visibility to that’s not reported is the commercial activity. So what I would say at the macro level is, the level of commercial quoting activity is actually fairly stable to strong in most important geographies that we play in and that’s one of the reasons we feel very comfortable right now with where we are and where we will be going forward for the next couple of quarters. Now, one of the things that is affecting the timing of orders is certainly we remain disciplined on pricing in the level of discounting that we’re doing. We’ve talked about it in the past, but we are continuing to reduce the level of variation on discount to make sure that we’re delivering the margins that we’ve committed to.  Ron mentioned a couple of structural items that have impacted the third quarter in particular. I would say on the small mobile cranes which for us is largely the R keys, a coupel of things there. One is the fact that we leased our 2013 pricing fairly late in the quarter, later than certainly the normal and that had an impact in the amount that we were able to get in terms of new orders for next year. We expect that to get building in Q4 and that’s already beginning. I would also remind everyone that we did add capacity in our two key plants in North America and in Crespellano, Italy four up to crane demand. So we would expect the normal levels of backlog to be shorter. We got to a point where we were not comfortable with what we considered to be unhealthy level of backlog, pushing things out six to seven months. We were much more comfortable in the two to three months on that product line. 
Ronald M. DeFeo: And by adding capacity we didn’t have brick and mortar. We just added the shifts or labor. 
Kevin Bradley: Correct
Ted Grace – Susquehanna: And the last thing is. Just so we understand the cost of modification of the backlog, the removals. Could you just give us a sense for kind of the magnitude and if you think that process is complete?
Ronald M. DeFeo: We’ll let me just say the magnitude was important. I think the process is one-sided. In other words some of it has gone away at least in the third quarter it will be improved in the fourth quarter as we take orders for 2013, okay. So understand that point. The second point I think that Kevin will emphasize and maybe we’ll get into this with some other questions, is that we also introducing several critical new products which carry with them very meaningful advantage vis-à-vis competitors and margins. And so, while all the analysts in this world like to talk about backlog, I have consistently said backlog is an indicator, it is not the sole indicator. And we feel pretty good about where our Crane business is at this point in time. 
Ted Grace – Susquehanna: Okay. That’s great guys. Thanks very much. Best of luck this quarter. 
Operator: Your next question comes from the line of Schon Williams, with BB&T Capital Markets.
Schon Williams - BB&T Capital Markets : Hi, good morning. Congrats on the quarter. I wonder if you could just talk a little bit about the production re-alignment, and some of the restructuring that’s been going on in 2012 and maybe where that gets us in 2013. So for instance, what you did in the material handling this quarter, is that already built into the synergy guidance that you’ve given or is that above and beyond? And maybe if you could talk and maybe especially on maybe constructions or material processing. Does the restructuring within construction, does that just get us back to breakeven. Does that get us back to moderately profitable? Just you just kind help us think about where the restructuring gets us as we move into 2013
Ronald M. DeFeo: Alright, Sean. Thank you. The material handling and Port Solutions restructuring really reflects the plan that we set out. When we acquired this business we had the opportunity to review the business and until the domination agreement was complete in April, we could not begin that implementation and integration process. We set out an opportunity to do a $35 million cost reduction effort. That $35 million cost reduction effort obviously had a pretty substantially higher internal target. We are actually realizing that $35 million probably feeding it and I think it will have a pretty nice benefit for the company overall. We had targeted to offset the setup amortization. I think we will exceed that when it’s all said and done. So $6.9 million approximately in the material handling and Port Solution segment is a small price to pay relatively speaking for what will be at least $35 million or greater savings going forward. With regards to construction, I am going to turn that over to George, who is on the call, George Ellis, but I would say that restructuring effort is really pretty moderate compared to what this segment has already done and I think the segment really is working on things like the Takeuchi private label deal that was recently announced as well as getting several substantive orders from several of our large customers to re-energize some of the revenue in that business which I think we’ve gotten some good indications for in 2013. But George, why don’t you comment on that.
George Ellis: Thank you, Ron. I’ll continue on -- we have continued to focus on the restructuring as you’ve mentioned but I feel that we may still need to do a little more work as we finish up the year but I want to caution ourselves that we are seeing some movements in the market and indications in certain products that we make that as Ron mentioned there are alternate new distribution that we have with Takeuchi and also some other activity as I see in some of our larger product lines that could substantially offset some of the negativeness in some of my other businesses. So still a lot of work to do. The market is still kind of shacky in some areas but I do see some things particularly on the comment made earlier around housing stats in the Northern America, some areas we haven’t seen movement and I can specifically see that flowing through in businesses tied to that. 
Ronald M. DeFeo: I am reasonably confident that 2013 will be a year of meaningful progress in the construction segment. We know for a fact that our concrete mixer truck plant, which has been down and basically shut for three years, is now running and we’ve got good solid view to our customers there. The fact that we took the Takeuchi private label arrangement which has a pretty substantive amount of business attached to it is an indicator. We’ve got some other European activity that I think is pretty positive. So net -- the market for at this moment in time is very nervous and probably hasn’t placed a lot of worries with us, but unlike Caterpillar, we don’t have dealers with a lot of floor planned inventory where we have to adjust for. So when the market does pick up, we’ll be responsive and begin to reflect that in our business. 
Schon Williams - BB&T Capital Markets : And maybe just as my follow up then on the new distribution agreement there, is this – I mean how may we think about where this goes from here. Is this the first orders of a long term relationship or is this going to be more of a lumpy relationship where we get some orders that show up kind of here and there. Can you just help me think about how that moves the needle?
Ronald M. DeFeo: We’ll, I think it begins to move the needle for our plant in Grand Rapids, Minnesota, pretty meaningfully. I think it could be the beginning of a very solid long term relationship with Takeuchi. Clearly it is a multiyear agreement. Having said that, we also believe there are opportunities for us to build relationships with others as we have in the past. Tim Ford has part of his business with another European player where he private labels products. So this is a strategic opportunity for us and we are going to continue to develop that. Terex has always been the kind of company that we will try and different approaches that others may or may not do. So this is just a reflection of that. 
Schon Williams - BB&T Capital Markets : Alright. Thanks guys. 
Operator:
 :
Mick Dober – Robert W. Baird :
 :
Ronald M. DeFeo: We’ll, again as I said in the end of my comments, we haven’t completed our budgeting process. So we are not really providing specific 2013 guidance. Having said that, I wouldn’t want anybody to interpret that we will withdraw our business and our margins would go down. Our focus is clearly on margin improvement, cash generation, integration completion of MHPS and debt reduction. Those four things and in that environment we still expect some moderate revenue increases mainly from AWP and Cranes, and a little bit from material handling and Port Solutions. 
Mick Dober – Robert W. Baird : Excellent. That’s very helpful. Thank you and my follow up is it sounds to me that you are not planning any sort of production adjustments in either AWP or Crane in spite of the backlog in the quarter. So I guess I am wondering when you are thinking about 2013, what sort of order levels in the fourth quarter would be consistent with unchanged production plans from how you are thinking about the year currently?
Ronald M. DeFeo: I don’t think we are planning any production declines. In fact we are probably planning some production increases. And again, I have to tell everybody the same story. Too much backlog is a problem, too little backlog is a problem. We do not have too little of a backlog in AWP and Cranes. We have too little of a backlog in construction and materials processing. So it is not my concern really, in all the three months from now things could change but at this point in time that’s our assessment. 
Mick Dober – Robert W. Baird : Thank you for your comments.
Operator:
 :
Jerry Revich - with Goldman Sachs : Good morning, and Phil congratulations and good luck in retirement. 
Phil: Alright, thank you. 
Widman: Alright, thank you. 
Jerry Revich - Goldman Sachs : I am wondering if we could bother to have a little more time here if you don’t mind Kevin, to rank order for us. Which regions do you expect to drive order growth over the next 6 to 12 months or Ron, how you want to frame it topline growth. And also just touch on how much pricing contributed in the quarter and just then update on the pricing competitive landscape as you see it now would be great.
Kevin Bradley: Okay. For us the strength remains with North America. We still see strength in Australia, the Middle East and most of Latin America; those seem to be the core drivers of our growth right now. Although I would say there are selective countries in Eastern Europe that we see really good demand and continue to see good demand out of. But I would think going forward those will be the anchors in our play book for growth. Now in terms of pricing, we’ve worked hard to get the discipline we have and we expect to continue with in the third quarter we – the price probably accounted for 4%. Price was the majority of the impact in our margin increase on the third quarter. The other piece obviously we talked about comes from cost reduction. So roughly, 2% from cost, 4% from price and mix giving us the 6% improvement or doubling our margins for the quarter on an annual basis.
Ronald M. DeFeo: Good. And what I’d also like Steve Filipov to provide some commentary on his view of some of the regional strength because this really is kind related but it is also regionally related. Steve? Steve’s in Moscow right now. So it maybe a little colder there than most places. 
Steve Filipov : Sure. Our business in developing markets is very diverse. I think most people think we have core businesses in Latin America and other places but it’s pretty diverse. And if you look at it quarter-over-quarter, it’s fairly flat. So it’s a little bit down versus second quarter but it’s really some of the markets that are shifting. Our total Latin America business is actually up, although Brazil is slightly down. As Phil said most of the other markets in Latin America are fairly good right now. South East Asia is pretty much flat, Russia and Eastern Europe are flat for the company with most of the softness in Eastern Europe but Russia is up a bit. Our Middle Eastern Africa business both of them are up substantially year-over-year. India is probably the biggest softness we have, but it’s a fairly small business for us but it’s down a bit. And all these numbers I reference or without MHPS, if you add in MHPS, yet about another $500,000 to developing markets revenue. So it’s diverse, I’d say it’s flat overall for the company but there are some substantial markets that are up and going forward we want to leverage the MHPS infrastructure that we have in those developing markets because it’s about 40% of the total revenue. So I hope that gives you a picture. 
Ronald M. DeFeo: Thanks, Steve.
Jerry Revich - with Goldman Sachs : I appreciate the color. And Ron, I am wondering if you could just pull together what you are seeing in Europe across your businesses. It sounds like in a couple of industrial end markets things have deteriorated at least from an investment conference standpoint 3Q versus 2Q. I am just wondering if you could just comment on what you are seeing across your product lines. Thanks.
Ronald M. DeFeo: Yeah, sure. We actually were surprised by the fact that on a year-to-date basis our European Union revenue was up about 6% as a company and that’s excludes the Demag Cranes AG acquisition or our material handing Port Solutions business but without a doubt it’s a mixed story in Europe and a story that causes us some concerns and will be a focus of our reviews as we plan our 2013. In general, I’d say that the Spain, Portugal, Ireland, Italian and Greece businesses are pretty quiet if not dormant. On the other hand, the German businesses, although it is slower are still reasonably positive and the Scandinavian businesses are pretty positive and some of the Eastern European businesses in particular markets like Turkey are actually quite good. United Kingdom, still hard to predict, generally pretty soft. So the mix bag we are getting from Europe, the mix picture I think just reflects the general economic melee that’s ongoing in the company.  Now, in our overall terms the second quarter, we did 28% of our revenue in Western Europe in the third quarter rather and – we’ll you say, we’ll you are bigger in North America, we’ll historically Western Europe used to be larger than that. So this reflects the shifting mix of our business. But that you can expect to see change over time. I don’t think 2013 will be a strong year in Europe for many of our businesses but I do believe that given the fact that we are in businesses that have fleets of equipment that need replacement, that 2014 is going to be an excellent for Aerial Work Platforms in Europe. At one point in time, Europe represented the third of our Aerial Work Platform business. It does not today. So this is the last thing in the waiting more or less that happens in the capital goods business and the importance of being diversified. 
Jerry Revich - with Goldman Sachs : Thank you very much. 
Operator: Your next question comes from the line of Seth Weber, with RBC Capital Markets.
Seth Weber - RBC Capital Markets : Good morning guys. So first question on the Crane business. So its sounds like you are calling out Europe weakness in the crawlers and the AT business. Can you frame for us how much of the crawlers and alter rains is represented by Europe and can you comment whether you are seeing strength in crawlers anywhere else?
Ronald M. DeFeo: We’ll definitely seeing strength in crawlers other places and again, many of our European Crane companies buy the Cranes and move them to other places. One of the reasons we feel really good about our Crane opportunities is not because the Cranes we selling or going to Spain or Portugal but because the Cranes were selling or going to other parts of the world. So I would not characterize our Crane business as terrible in Europe. I would characterize our Crane business as fairly flat in Europe with an opportunity to sell to European customers who sell elsewhere. Kevin, did I get that wrong?
Kevin Bradley: No, it’s right. If you look back at the chart on page 14, you can see that we were roughly 42%, 43% of our market was in Europe historically. Now, it’s kind of stabilized at around 30%. But as Ron points out, a lot of that 30% is actually for large fleet buyers that are doing global projects in developing markets. We actually feel that it’s very good right now about the forward-looking picture for crawlers. Some of you may know we just three weeks ago launched a very significant product in what is the 600 to 700 ton class, which for us in the large crawler space is the most meaningful product area and we are getting a great reception for that particular product, the super lift 3800, which we think will create significant incremental revenues for us in 2013 and beyond. 
Seth Weber - RBC Capital Markets : Okay. That’s helpful. Thank you. And just a follow up question. Your outlook for moderate growth for 2013. If we look at 4Q, your guidance for 2012 and implies fourth quarter down about 7% on the topline. So how should we think about 2013? Are you expecting it to be backend loaded?
Ronald M. DeFeo: No. not necessarily. I think what we got going on in the fourth quarter is also a little bit of currency comparison year-over-year too because remember a piece of our business shifts with the currency. So when we look forward to 2013 and compare that with 2012, what I say is 2012 was more first half strong, second half weak. I think 2013 will be a little bit more balanced across the year. So I think we’ll likely to see the growth really happening in year-over-year in the second half of 2013 but still some growth in the first half as well. 
Seth Weber - RBC Capital Markets : Okay. That’s very helpful. Thank you very much. 
Operator: Your next question comes from the line of Rob Wertheimer, with Vertical Research.
Rob Wertheimer - Vertical Research Partners : Hey, good morning everybody. Had one question on Crane and one on Aerials. As I understand the Crane orders has been -- you are now the price increase a little later and so you didn’t get the pre-ordering ahead of the price increase. Is that what that meant? And then just real quick on cranes also the price discipline is obviously great in trying to force people to sort of pay up and not stringing along with deferral but was it really out of step you are trying to change industry practice or is this just you taking a harder line on people who shouldn’t really be surprised by it. 
Ronald M. DeFeo: Okay. Kevin, you want to handle the crane.?
Kevin Bradley: Yeah. On the price piece it’s exactly right. We’ve been lowering our variance on discounting. But also making sure that if – we’ve had a practice at least within our crane business on the large side where some customers will tend to kind of buy up slots pretty fallout and then maybe defer them. And instead of allowing people to defer orders what we are doing is we are saying listen, if you want to defer an order, we are essentially cancelling the order, so that we are not getting last year pricing next year. So that is a little bit more discipline that we are bringing to the market. It’s self-inflicted and it’s having an impact. So…
Ronald M. DeFeo: It’s not that they don’t need the cranes. They were just trying to get pricing stretched as long as possible which makes it is difficult for us to put new pricing in. so we are just saying these are our rules, please follow the rules and I think our customers understand us and I mean I am sure they’d love to buy the equipment at last year’s pricing if we’d sell it to them but they need the equipment so they’ll buy it at next year’s price. 
Kevin Bradley: The other part of your question specific in North America. Yes we did release 2013 pricing late in the quarter only allowing -- we go to market two ways in North America for the smaller cranes, we go largely to the distribution for the larger cranes is direct but for those smaller cranes, we get fairly large orders for the following year typically in Q3. More than half of that activity is pushing into Q4 because of the timing of when we release the pricing. But we feel very good, we are actively in negotiations with all the right players this quarter and we expect that to fill in in the next two months.
Rob Wertheimer - Vertical Research Partners : Great. And if I can just switch to Aerials. In the commentary on the fleet mix has really been helpful and interesting. Are you assuming – and I guess the reason for my question is that we’ve seen in dirt moving equipment and then in trucks, bigger fleets continue to buy and smaller fleets haven’t been able to or haven’t been willing to. So I just curious about the dynamic here. And are you assuming smaller fleets up and bigger fleets up in Aerials next year and do you think – we talked about the ageing. You think bigger fleets have a couple more years to go before they are totally. Thanks. 
Ronald M. DeFeo: Okay. I am going to turn this over to Tim but I do want to make a comment. Aerials is going to be a little bit different than dirt. A lot of the dirty equipment went through – is going through a tier engine change and many of the customers bought tier 3 engines in advance because they didn’t want to buy tier 4 engines. So they pulled forward, last year they pulled forward orders for the dirt equipment intentionally, whereas Aerials isn’t really in that situation. So Tim, you want to pick up from there?
Tim Ford: Yeah, Ron. I would just add a couple of comments to Ron’s. One, we spend a lot of time rightfully so focused on the large national footprint buyers in North America. But if you look across the AWP segment, the national footprint buyers represent about a relatively small portion of the overall segment sales. So, while they are important and I don’t want to dismiss them as being unimportant because they are really do help us drive some volume. We really think the market in general when you add Europe and Latin America, Australia, Asia Pacific to the mix, is a pretty diversified market. So to focus on the big guys, yes, they have an influence on things but the overall market is pretty broad and pretty diverse. Do I think that large guys are going to be buying in increasing fleets? We’ve heard some mixed signals. Some customers have said they are looking at replacement, others say that they are going to be adding some fleet to their mix but it’s really going to be driven a lot by the diversified portfolio of customers that we serve throughout the business. 
Rob Wertheimer - Vertical Research Partners : Thanks.
Operator: The next question comes from Joel Tiss, with BMO Capital Markets.
Joel Tiss - BMO Capital Markets: Hi guys, how is it going? I wonder if you could just help us to try to aggregate or get us into the ball park. The combination of the carry over in pricing from 2012 into 2013 plus the new pricing actions. Can you just get us in the ball park of what that means for overall pricing?
Ronald M. DeFeo: I don’t think we can at this stage Joel, because pricing is just one piece of the margin mix. It would kind of misrepresenting the overall picture of the company. Just talk about what we think is happening with pricing until you have a sense of what’s happening with cost. And I just think from a balanced commentary point of view, you have to have a view on both. And until we go through our budgeting process, we won’t have a view on both. The net we believe will be positive but maybe not as positive as it was in 2012. Total amount. 
Joel Tiss - BMO Capital Markets: Okay. And then on the debt side. Can you give us a little inside into the – is there any plan around the $800 million of 8%. I know that becomes callable soon. You’ve got a pile of cash on the balance sheet and probably some more to generate as we go through ’13. Can you just give us a little bit of sketch of what you are thinking how that plays out in the next year?
Ronald M. DeFeo: Hi Joel, I don’t know about a pile of cash. I am Mr. Liquidity. Amounts of cash is more important or nice. The debt markets are certainly very positive for high yield type instruments out there. At 6.5% and also trading at about 5.7%. So the call on the 8% is open to us in November 15. So we are going to look at what we can do out there in terms of that item but I am not going to announce anything at this stage. And I think as we look at our cash flow through our budgeting process, we are going to look at other opportunities next year to pay down debt. We will have sufficient amount of term debt such that we can prepay at any point in time. So that creates some opportunity for us next year but I think that’s more appropriate to address as we give into the guidance for next year. 
Joel Tiss - BMO Capital Markets: Alright. Thank you very much. 
Operator: Our last question from the line of Matt Vittorioso with Barclays. 
Matt Vittorioso – Barclays: Good morning guys. Thanks for taking my question. Just so, on the back of that – the previous question Ron also, what do you think the right amount of debt is for this company going forward. I think your credit investors have appreciated the focus on the balance sheet and on margins and in cost reduction. But as you look forward and given the inherent cyclicality of the business, what do you think the appropriate amount of debt is and as we move through ’13 and you look to reduce debt. What do you think the right amount of debt is over the long run?
Ronald M. DeFeo: Matt, thanks for the question. The way we look at this is that given we do have cyclicality; we try to target our own 2.5 net debt to EBITDA as the metric that we look at. Net debt, so including the cash I have to tell you. And that will fluctuate. Mainly depending on the EBITDA performance that we have but and in flexibility such that if there’s an attractive of acquisition we got the capacity to do that but really we try to manage around that level over a business cycle. The other thing I would add to this is one of the objectives in acquiring Demag Cranes or now material handling and Port Solutions was to acquire a Services business that we think that we could build on and find ways to grow and balance some of our other businesses that are cyclical.  With the Demag Cranes AG Acquisition, we acquired a $450 million Services business that operates at about a 18% EBITDA margin, that over the past business cycle did not see major contractions in the EBITDA margin and the Demag AG business remained profitable through the whole financial crisis which is a very different profile than the Terex performance. But you know we compounded our problem with the sale of the mining business but frankly speaking that’s why we wanted to age of that business and get a business that we thought could deliver more reliable cash flow. We’ve added cost in a certain sense to the material handling Port solutions business because we allocated to them some of our corporate costs a little bit ahead of the time when we are taking their corporate cost out. So this comment is relevant to the debt question because what is the peak and trough of our EBITDA is an important part of answering that question. And so this is where we are going to spend some time just making sure that future businesses will add to Terex enhance the predictability of our EBITDA and in businesses that we don’t have as part of Terex actually also feed towards making us some more predictable EBITDA player. So we won’t completely change our cyclicality by any stretch of imagination but I think we can mitigate some of the troughs at least. So, I hope that answered your question, Matt. 
Matt Vittorioso – Barclays: Yeah. That’s very helpful. I am just on the mark of that as we look at 2013, you said you’d be looking to pay down additional debt but other cash uses I guess acquisitions are always a possibility. Any thoughts on that and I guess you’d be looking for again businesses that have a milder peak to trough but if I can just dovetail the typical question around the construction business, if you make some acquisitions in ’13 hopefully they would be more stable businesses and at what point do you start to put some sort of deadlines on the construction business to say we are either going to be in this or not and if the effort here is to make a less volatile peak to trough, my construction divestiture of the construction business help that effort. 
Ronald M. DeFeo: We’ll, I think improved performance in the construction business will clearly help that effort and we are pretty positive about your ability to achieve that even though right this minute we are seeing some significant revenue softness. So I guess I really want to comment about anything beyond that. Both acquisitions and portfolio management are always some things that we’ll look at but I think we did quite a bit of portfolio management. So far and for the most part, I think we are in businesses that can grow with goals that we’ve set. The Takeuchi transaction should give you a sense of where we see opportunity and there are other things that can be done along that front, on that kind of front. And so leave at that, I think obviously the common and construction is something that we think about and appreciate but I think we are making progress. 
Matt Vittorioso – Barclays: Great. Thanks guys. I appreciate it. 
Ronald M. DeFeo: Thank you very much. I think that ends our call. Operator?
Operator: Thank you, ladies and gentlemen. That does concludes the Terex Corporation’s third quarter in 2012 financial release. You may now disconnect.